Operator: Hello, and welcome, everyone, to the Fiscal 2025 Second Quarter Earnings Call for CMC. Joining me today on today's call are Peter Matt, CMC's President and Chief Executive Officer; and Mr. Paul Lawrence, Senior Vice President and Chief Financial Officer. Today's materials, including the press release and supplemental slides that accompany this call can be found on CMC's Investor Relations website. Today's call is being recorded. After the company's remarks, we will have a question-and-answer session, and we'll have a few instructions at that time. I would like to remind all participants that today's discussion contains forward-looking statements, including with respect to economic conditions, effects of legislation and trade actions, U.S. steel import levels, construction activity, demand for finished steel products, the expected capabilities, benefits and timeline for construction of new facilities, the company's operations, the company's strategic growth plan and its anticipated benefits, legal proceedings, the company's future results of operations, financial measures and capital spending. These statements reflect the company's beliefs based on current conditions, but are subject to risks and uncertainties. The company's earnings release, most recent annual report on Form 10-K and other filings with the U.S. Securities and Exchange Commission contain additional information concerning factors that could cause actual results to differ materially from those projected in forward-looking statements. Except as required by law, CMC does not assume any obligation to update, amend or clarify these statements. Some numbers presented will be non-GAAP financial measures, and reconciliations for such numbers can be found in the company's earnings release, supplemental slide presentation or on the company's website. Unless stated otherwise, all references made to year or quarter end are references to the company's fiscal year and fiscal quarter. And now for opening remarks and introductions, I would like to turn the call over to Peter. Please begin, sir.
Peter Matt: Good morning, everyone, and thank you for joining CMC's second quarter earnings conference call. I will start this morning's discussion with an overview of CMC's second quarter results. I will then provide commentary on current market conditions and share a brief update on CMC's strategic efforts. Paul will cover the second quarter's financial information in more detail, and I will conclude our outlook for the third fiscal quarter of 2025. We will then open the call for questions. As a reminder, additional information regarding the quarter is provided in the supplemental slides that accompany this call, which can be found on CMC's Investor Relations website. Before discussing CMC's financial performance, I would like to highlight our team's outstanding safety performance. You have heard me mention many times that our highest priority is ensuring the safety and well-being of our people. We want everyone to leave their shift in the same condition in which they arrived. The first half of fiscal 2025 marks a new milestone on our journey toward that goal. We achieved a record low incident rate that was consistent with world-class performance. Additionally, and even more impressively, the number of OSHA recordable events was the lowest since the second half of fiscal 2018, when the company had nearly 4,500 fewer employees. I would like to congratulate the CMC team on this great accomplishment and challenge you to keep pushing towards the ultimate goal of zero harm. CMC reported net earnings for the second quarter of $25.5 million or $0.22 per diluted share on net sales of $1.8 billion. The result included $3.9 million of after-tax charges, which Paul will take you through in more detail. Excluding these items, adjusted earnings were $29.3 million or $0.26 per diluted share. Though down from recent earnings levels, I am proud of the CMC team's performance during the second quarter. Each of our segments was able to drive financial benefits to the bottom line by executing on targeted cost optimization and margin enhancement opportunities. These efforts were in addition to CMC's strategic, operational and commercial excellence initiatives, or TAG, and were aimed at pulling all levers of value within our reach to increase the degree of control over our financial performance within an uncertain economic environment. I couldn't be more pleased with how our businesses across our organization responded to the challenge by identifying and executing on available opportunities, generating real benefits and setting the company up for even greater success as market conditions improve. Results in our North American Steel Group during the second quarter continued to be impacted by economic uncertainty, which has been an overhang on steel pricing and slowed the pace of new construction project awards. As I will discuss in a moment, we saw several bright spots emerge during the latter part of the second quarter, which we believe signal a near-term inflection in profitability. Our Europe Steel Group achieved a breakeven performance, marking an improvement on both a sequential and a year-over-year basis when energy cost rebates are excluded. Excellent cost management continues to be a meaningful benefit to financial results. We also experienced modestly improved market conditions during the quarter as import flows moderated from recent elevated levels. Profitability for CMC's Emerging Businesses Group also increased sequentially and compared to the year-ago period. Our performance reinforcing Steel division was a standout during the quarter, driven by strong demand for its proprietary corrosion-resistant solutions, but all divisions within the segment performed well and have project pipelines to support a strong second half of the year. Turning now to CMC's markets in North America, the construction and industrial activity that drive consumption of our products was resilient during the quarter, which resulted in year-over-year growth of finished product shipments. Similar to the last two quarters, uncertainty continued to negatively impact the pace of new project awards for private construction. Project owners remain concerned about the future trend in interest rates and are now weighing in the effect of tariffs and other governmental policies on the economy. Though new work is slow to award, the pipeline of potential projects continues to grow, resulting in what we view as a significant amount of pent-up demand. We see evidence of this increase in pent-up demand in our downstream bid volumes as well as the Dodge Momentum Index, which now sits at an all-time high and has registered growth in planning across a number of market segments. We also hear about it in our conversations with customers, who remain optimistic regarding the year ahead. There are a handful of notable exceptions to the trend of slower awards that are worth mentioning. First is highway and infrastructure, where activity is increasing nicely, and we expect to see additional large projects entering the market during the spring and summer months. Next, unsurprisingly, is the data center segment, which is currently very strong and can be expected to continue growing rapidly for the foreseeable future. This view is solidified by recent announcements by leading technology companies to invest over $1 trillion in digital infrastructure in the coming years. Additionally, investment in LNG capacity is ramping up under the new administration, and we have seen some major projects announced while others are currently nearing construction. This type of work is not only a solid demand generator for our traditional rebar products, but also presents attractive opportunities for our higher value-added solutions such as cryogenic steel and Geogrid. As noted in our press release this morning, several encouraging developments emerged within our North American markets during the latter part of the second quarter. These included improved scrap market conditions and an inflection in long steel price levels, the combination of which we believe indicates that we have reached a floor in steel product metal margins and should see expansion heading into the third and fourth quarters. Higher mill pricing has carried over into our downstream operations, where average price levels on project bids and awards have risen proportionately. Lastly, we experienced the second highest volume of new project awards since late fiscal 2022, leading to a healthy sequential increase in downstream backlog. The rebound in awards does not necessarily signal that the slowing effect of uncertainty is dissipating. However, we believe it does show that there is a meaningful number of projects that owners are eager to construct despite the present challenges. Before leaving our North American market discussion, I would like to zoom out a bit and talk about -- excuse me, I'd like to zoom out a little bit from talk of uncertainty and take a broader view of the landscape. The last five years have brought tremendous economic, geopolitical and technological change. Governments and businesses have responded by undertaking massive investment programs to realign supply chains, rebuild infrastructure, increase energy production and transmission and upgrade computing capabilities. The common thread running through all of these developments is construction. As the pace of change accelerates, it is construction that makes this adaptation possible this dynamism gives me a high degree of confidence in the future of CMC's markets. We likely won't be able to predict the next trend, but I'm confident that it will require construction solutions offered by our company. That's why I think it's important to keep a sense of perspective and look beyond the temporary slowness. Shifting gears to our European segment, conditions improved moderately compared to the recent periods, largely as a function of reduced import flows and long steel products from Germany, better balance in the market provided space for our team to maintain shipment levels on a sequential basis despite seasonally weaker demand. We also experienced so modest relief on metal margins and were able to increase pricing by $25 per ton from the low reached in December of 2024. Consumption remains in line with historical levels, but should grow in light of momentum within the residential market and increased funding for large infrastructure and energy projects. As noted on Slide 11 of the supplemental presentation, numerous green shoots have emerged that could meaningfully impact Polish and Central European steel markets in the quarters and years ahead. Perhaps the most notable recent development is the German proposal to lift its budget constraints to modernize its military and invest $500 billion in infrastructure. Such an action could substantially increase the country's steel demand and redirect material currently flowing into the Polish market. Many other nations within the EU are also suggesting that significant incremental investment needs to be made in defense capabilities, which will include construction activities and should stimulate demand for long steel products. In addition, an end to the conflict in Ukraine would boost general business sentiment across the continent and could lead to a sizable rebuilding effort. Inside Poland, many large infrastructure projects of a national scale are nearing construction phase and should help support rebar consumption over a multiyear period. Lastly, on the supply side, there is increased discussion within the European Union regarding creating and protecting an attractive environment for capital to be invested in industrial activities. Taken together, these demand and supply developments could substantially improve what has been a very challenging industry landscape. It is too early to be definitive about any of these outcomes, but we are starting from a low base, and I think we can be cautiously optimistic. Next, I would like to provide an update on a few of CMC's strategic initiatives. As we discussed in the past, CMC is taking steps to achieve its ambitious vision to drive the next phase of value-accretive growth. As outlined on Slide 10, our aim with this strategy is threefold, first, to achieve sustainably higher, less-volatile, through-the-cycle margins and returns that are fortified by our operational and commercial excellence initiatives; second, to execute on attractive organic growth opportunities; and third, in a disciplined manner, pursue inorganic growth opportunities that broaden CMC's commercial portfolio of early-stage construction products, improve our customer value proposition and meaningfully extend our growth runway. Earlier this fiscal year, we introduced Transform, Advance and Grow, or TAG, our enterprise-wide operational and commercial excellence programs, with the goal of generating a permanent improvement in our margin profile. This program is unlike any other ever launched at CMC due to the breadth and the depth of its reach as well as its visibility and accountability structures built to support it. Every line of business in every support function -- and every support function, excuse me, has been involved in identifying and quantifying opportunities that now include over 150 different initiatives. Currently, CMC is executing over 25 first-wave initiatives with very strong early results. Last quarter, we provided some color regarding two specific initiatives aimed at reducing alloy consumption and improving melt shop yields, with a combined sustainable annual benefit of $10 million to $15 million. These programs continue to perform well and are expected to become permanent improvements to our cost structure. This quarter, I would like to highlight our efforts to enhance CMC's logistical capabilities. This initiative is expected to drive between $5 million and $10 million in annual benefits by optimizing delivery routes, improving asset utilization, increasing the use of rail versus truck and more effectively capturing backhaul opportunities. Progress to date has been encouraging. And just like our alloy and melt shop initiatives we expect our logistics efforts to translate into sustainable financial benefits. Beyond the initiatives mentioned, several other major operational and commercial work streams are underway. Overall, our performance to date as well as the focused determination of the teams from across the organization give me confidence that CMC's TAG-related efforts will provide approximately $25 million of benefit over the remainder of fiscal 2025, in addition to the $15 million that we have already achieved in the year. And the really exciting part is that there's a lot more to come in the years ahead. We continued to make progress at our Arizona 2 micro mill, which included producing an increased volume of merchant bar products during the quarter. Looking ahead, we expect to achieve meaningful advancements in production volumes during the third and fourth quarters, with growth in both rebar and merchant bar output. Meanwhile, progress at CMC's Steel West Virginia site remains on track, and we are currently on target for commissioning process to begin in the late part of 2025. Beyond the -- our mill projects, we are also making investments to meet customer demand and strengthen our core offerings by growing our capabilities in more specialized solutions. These undertakings include the expansion of CMC's post-tension cable production in our North America Steel Group and adding a second GalvaBar coating line and increasing Geogrid manufacturing capability in our Emerging Businesses Group. These investments and others like them require significantly less capital than our traditional steel business, but generate high returns on capital and strong cash flows. We are making good progress on these projects and expect each of them to be placed into service over the next 18 months. On the inorganic front, we remain interested in entering attractive adjacencies to our business, where we believe we have a clear right to play and opportunity to offer immediate value, given CMC's current customer knowledge, marketing -- market position and operational capabilities. We are targeting segments of the $150 billion early-stage construction market that touch the types of projects we are already servicing and feature higher, more stable margins. We anticipate these adjacent markets will also benefit from the mega trends that are expected to drive construction activity for years to come. With that, I'll turn the call over to Paul.
Paul Lawrence: Thank you, Peter, and good morning to everyone on the call. As earlier, we reported fiscal second quarter 2025 net earnings of $25.5 million or $0.22 per diluted share compared to net earnings of 25.8 -- sorry, of $85.8 million and net earnings per diluted share of $0.73 in the prior-year period. Excluding estimated net after-tax charges of approximately $3.9 million, adjusted earnings for the quarter totaled $29.3 million or $0.26 per diluted share compared to $85.9 million and $0.73 per diluted share, respectively, in the prior-year period. Charges incurred during the quarter were primarily related to interest expense on our judgment amount associated with the previously disclosed Pacific Steel Group litigation verdict reached in November. Consolidated core EBITDA was $131 million for the second quarter of 2025, representing a decline from the $212.1 million generated during the prior-year period. Slide 13 of the supplemental presentation illustrates the year-to-year changes in CMC's quarterly financial performance. Profitability of our North American Steel Group was negatively impacted by lower margins over scrap, while EBITDA at both our Europe Steel Group and Emerging Business Group increased compared to the second quarter of fiscal '24, consolidated core EBITDA margins of 7.5% compared to 11.5% in the prior-year period. CMC's North American Steel Group generated adjusted EBITDA of $128.8 million for the quarter, equal to $123 per ton of finished steel shipped. Segment adjusted EBITDA decreased 42% compared to the prior year period, driven primarily by lower margin over scrap costs on both steel and downstream products. We believe this represents a trough level of EBITDA and expect earnings to rise as we enter 2025 construction season and as a result of the -- of increased volume, realizing price increases that have been announced and continued focus on our costs. Controllable cost per ton of finished steel was largely unchanged on a year-over-year basis, with cost management efforts offsetting the impact of weather-related operational disruptions and approximately $8 million of unrealized losses on copper hedging positions due to the volatility in this commodity over the past months. The adjusted EBITDA margin in the North American Steel Group of 9.3% compares to 15% in the second quarter of 2024. As Peter indicated, demand for long steel products was resilient during the quarter, as demonstrated by our finished steel shipments, increasing by 3.3% compared to a year ago. Turning to Slide 15 of the supplemental deck, our Europe Steel Group reported adjusted EBITDA of $0.8 million for the second quarter of 2025 compared to a loss of $8.6 million in the prior-year period. The improvement was driven by ongoing cost management efforts as well as a $4 million rebate for natural gas costs and increased shipment volumes. Similar to recent quarters, the team in Poland continued to drive efficiency gains throughout the operations with success in nearly every major cost category, including energy, consumable usage, maintenance, labor and overhead. These efforts have allowed the Europe Steel Group to remain roughly cash flow breakeven within a challenging market backdrop. Most of these improvements are permanent in nature and set us up well to capitalize on market recovery. As Peter mentioned, we also saw a pullback in the level of long steel imports into Poland that provided CMC the opportunity to achieve strong shipping volumes within a seasonally weaker second quarter and to modestly increase metal margins on a sequential basis. Emerging Business Group second quarter net sales of $158.9 million was an increase of 1.8% on a year-over-year basis, while adjusted EBITDA of $23.5 million increased by 31%. The improvement was largely driven by strong demand for our proprietary products within the Performance Reinforcing Steel division. This business has had success in penetrating several major infrastructure projects requiring enhanced lifespan strength -- lifespan, strength and corrosion-resistant characteristics. Financial performance of CMC's Tensar and Construction Services divisions were a little changed from a year ago, but it's worth noting that Tensar saw good recovery from sequential Q1 results. Indications of future market conditions remained encouraging, with pipeline measures such as project quotes and new planning activity at healthy levels. Earnings at CMC's Impact Metals division continued to be impacted negatively by weaker truck and trailer demand, though we are seeing signs that conditions are beginning to stabilize in this market. A higher mix of sales of our performance reinforcing steel within the EBG total sales as well as the continued adoption of Tensar's latest Geogrid solutions led to a 330 basis point improvement in adjusted EBITDA margin compared to the second quarter of 2024. Moving to the balance sheet, as of February 28, cash and cash equivalents totaled $758.4 million. In addition, we had approximately $815 million of availability under credit and accounts receivable facilities, bringing total liquidity to just under $1.6 billion. During the quarter, we generated $32.4 million of cash from operating activities, which included a $67.5 million usage of cash for working capital, principally driven by the scrap cost increase, which occurred during the quarter. Capital expenditures of $86.3 million were largely driven by construction activity related to our Steel West Virginia micro mill project. In addition, we received $25 million in cash incentives during the quarter related to the Steel West Virginia project. And in total, we anticipate receiving approximately $75 million of upfront incentives related to this project. Our leverage metrics remain attractive and have improved significantly over the past several years. As can be seen on Slide 20, for the second quarter of 2025, our net debt to adjusted EBITDA ratio now sits at 1x, while the debt to capitalization is only 18% -- 8%. We believe our robust balance sheet and overall financial strength provide us the flexibility to finance our strategic organic growth projects and pursue opportunistic M&A while continuing to return cash to shareholders. As we have stated in the past, we value the financial flexibility that our strong balance sheet provides us as well as the support it offers to execute the strategic growth plan that Peter outlined. As we implement this ambitious plan, we will target a through-the-cycle net leverage ratio at or below 2x adjusted EBITDA. Turning to CMC's fiscal 2025 capital spending outlook, we now expect to invest between $550 million and $600 million in total. This is down from previous guidance of between $630 million and $680 million, with the reduction related to the timing of certain expenditures at CMC's West Virginia project. I would note that this adjustment does not affect the anticipated start date for commissioning of the new mill. As outlined in past earnings call, CMC targets a prudent and balanced approach to capital allocation. Our first priority is value-accretive growth that furthers our strategy and strengthens our business. Coming in at close second is providing our shareholders with an attractive level of distributions in the form of both dividends and share repurchases. To this end, CMC returned approximately $68 million to our shareholders during the second quarter. CMC repurchased approximately 907,000 shares at an average price of $52.96 per share. As of February 28, we had approximately $305.3 million available for repurchases under the current authorization. This concludes my remarks, and I'll turn it back to Peter for comments on our outlook.
Peter Matt: Thank you, Paul. We expect consolidated financial results in our third quarter of fiscal 2025 to rebound from the second quarter level. Finished steel shipments within the North America Steel Group are anticipated to follow normal seasonal trends as we enter the spring and summer construction season. While our adjusted EBITDA margin is expected to increase sequentially on higher margins over scrap on steel products, adjusted EBITDA for our Europe Steel Group should remain near breakeven as we enter the seasonally strong period of the year and continue to benefit from extensive cost management efforts. Financial results for the Emerging Businesses Group are anticipated to improve to levels modestly above the prior-year period. We are encouraged by recent developments across the various markets in which we participate. Margin and demand trends appear to be improving, which should position us for the upcoming spring and summer construction season. Additionally, conversations with customers continue to indicate optimism about the coming quarters. Before we open the call for questions, I want to reiterate how excited we are about our potential to reach new heights in the future as we execute our key strategic priorities and deliver higher returns and significant value for our shareholders. As we move past near-term uncertainty, CMC is well positioned to benefit from the powerful structural trends in North America that should drive strong construction activity for years to come. I would like to thank our customers for their trust and confidence in CMC and all of our employees for delivering yet another quarter of very solid safety and operational performance. Operator?
Operator: [Operator Instructions] And the first question will come from Sathish Kasinathan with Bank of America. Please go ahead.
Sathish Kasinathan: Yes, hi, good morning. Thanks for taking my questions. My first question is on the U.S. rebar market. You mentioned that you expect improved metal margins in the North American segment. Yet if you see the recent trend in rebar prices, it doesn't fully offset the increase in scrap costs that we have seen in the past three months. And then over the weekend, we saw one of your peers raising prices for merchant and beams and not for rebar. So can you provide some color on what you're seeing on the pricing side and whether you see further room for rebar price hikes in the near future? Thank you.
Peter Matt: Yes. Thank you, Sathish, for the question. So we are seeing price increases across -- I would say, across our entire portfolio. Starting with rebar, on the rebar side, we have -- in some markets, we've gotten all of the increases. And in some markets, we've not gotten all of the increases yet, but we expect to get them as we book the future orders here. So on the rebar side, we feel very good about where things are. And I would say that, in our order book, we have continued to keep pricing above movements in scrap. So -- and the other thing I would say is that on -- vis-a-vis our Q2, we don't have much of the benefit of the price increases in there. I know you didn't ask specifically about merchants, but I'll comment on merchant and wire rod quickly. On merchant bar, we have gotten both of those price increases, and we are very confident that they will stick. And in wire rod, similarly, we are confident that, that will stick. And we believe in a market of strengthening demand that there should be room for further price increases as we move into the heart of the construction season. So we're very optimistic about where we stand on pricing.
Paul Lawrence: Sathish, I'll just add, in terms of the scrap cost increase in comparison to some of the indexes with the investment that we have in our vertical chain, what we see generally in our scrap cost increase is going to be directionally but not normally to the same level of the index increase. So that's what we see coming this time, is that we'll benefit from our overall investment in recycling operations and mitigate some of what you see in the index.
Sathish Kasinathan: Yes. Thank you for that additional color. Maybe one follow-up on the Arizona 2 mill. So can you talk about the financial performance in Q2? Are you close to breakeven? And with higher volumes in Q3, should we expect the mill to turn EBITDA positive?
Peter Matt: Yes. So we did not break even in the second quarter. And in fact, we had a challenging second quarter. Not only is it our weakest quarter seasonally, as you know, but we two had transformer outages, and we continue to have a few of the startup issues nagging us. So we did not achieve breakeven in the second quarter. As we move to Q3, we are going to work really hard to get to that level, but I think it's probably more realistic that we cross that threshold in Q4. And obviously, moving into -- or into 2026, we would be -- we'd expect to be continuously profitable.
Sathish Kasinathan: Okay, thank you. I'll jump back in queue. Thank you.
Peter Matt: Thank you.
Operator: The next question will come from Timna Tanners with Wolfe Research. Please go ahead.
Timna Tanners: Hi. Good morning. I wanted to just follow up on the last question to see if we could get a little bit more granularity around North American margins. So the change quarter-over-quarter in EBITDA per ton of about $93.5, is that recoupable in the next quarter? I know there's moving parts and it sounds like on the steel side, maybe, but on the -- maybe you can give a little more color about how to think about any lags in the downstream and how that might -- how to think about the trajectory in the next several quarters of recouping some of that lost margin? Thank you.
Paul Lawrence: Yes. If we look at -- Timna, if we look at the EBITDA per ton on the U.S. business, on a quarter-over-quarter basis, we do see a recovery of much of that in the coming quarter. And I think it comes from a number of different sources. Obviously, as we've talked about, we do expect metal margins to improve. We talked about the copper mark-to-market charge that we had in the quarter that we would expect to not occur again. Obviously, it depends on where copper prices go during the course of the quarter, but that is not certainly something that we forecast in our expectations. And then a couple of other areas of significant improvement that we expect are on the cost side. Not only is the second quarter higher on the cost side for -- in relation to fixed costs and the seasonal shutdowns that occur in our second quarter, but also the higher costs related to some of the harsh weather that we saw driving gas and electricity prices a little bit higher as well as scheduled outages that we had in the quarter. So all in, from an EBITDA per ton basis, we certainly see recovering sort of where we were from Q1 into Q2 and seeing that bounce back in Q3.
Timna Tanners: Helpful. Thank you. And then for a follow-up, if I could. On the positive side, your volumes were considerably better than we expected, growing like 9% year-over-year in rebar North America and merchants were up 4%. And merchants went up despite seasonality, rebar went down less than normal quarter-over-quarter. So do you think you brought forward some demand? Or can you help us understand, is that just greater production from some of your expansions? What drove that better than at least we expected volumes?
Peter Matt: There's probably some pull-forward of demand in that number. But in general, we feel really good about where things are. I mean if we look at our bidding -- I'm talking on the rebar side, if we look at the bidding activity, that remains very strong. You saw our booking numbers and they continue to be strong as we move into March. So we feel really good about where we are on that front. If we look at the merchant side, we see good demand for our products. And I think there's -- in general, there's a level of optimism about the economy that is going to help pull some of that product through the service centers. So we feel good about where that is and think it's sustainable.
Timna Tanners: Thanks again.
Peter Matt: Thank you.
Operator: Next question will come from Mike Harris with Goldman Sachs. Please go ahead.
Mike Harris: Yes. Thank you. Good morning. Just a quick question around the North American rebar market. If you could, how would you describe the current supply-demand balance? And how do you see utilization rates trending over the next year or so, if you could?
Peter Matt: Yes, absolutely. This is a picture we've been watching over the last several quarters. And obviously, the second quarter is our weakest seasonally, and yet it was actually quite strong from a demand perspective. And so we would see the supply demand balance as really quite well balanced right now. And I think that's why you're seeing the opportunity to move prices and our confidence in our ability to move prices. So we know in the case of our mills, we are really -- with the exception of Arizona, where we're ramping it up, we are really fully utilized at this juncture.
Mike Harris: Okay. Thanks. And then just as a follow-up, how would you describe the likelihood and potential impact of a composite rebar disrupting the long steel industry? And I guess what factors do you see as most critical in determining its adoption?
Peter Matt: Yes. This product has been around for a long time. And what we find is -- in different forms, I should say. And what we believe is that it absolutely has an application in the market, but we don't see it as a material threat to our market position at this juncture. There are some limitations in its application and specifically the challenges of fabricating it and so forth that give it less applicability to the markets overall.
Mike Harris: Okay. So more of a niche application, not necessarily an opportunity for broader adoption is one way to look at that, I guess?
Peter Matt: I think that's right, Mike.
Mike Harris: Thanks a lot.
Peter Matt: Yes. Thank you.
Operator: [Operator Instructions] Our next question will come from Andrew Jones with UBS. Please go ahead.
Andrew Jones: Hi gents. Just wanted to ask a couple of questions about like the sort of longer-term drivers here. I mean, clearly, the market has been worrying about the impact of trade policy on end demand kind of on a longer-term view. I mean, I know just some of your structural drivers, the infrastructure investment and so forth, doesn't look it's changed in the presentation, but is there elements of that you see big risk and on some of the nonfederal-driven aspects to the demand spectrum? And where do you see the most risk? And do you have any sense on quantifying any of that? And also, I guess, also a longer term question. I mean, this PSG mill seems to have broken ground. That's obviously going to be coming on at some point after 1.5 million tons or so of new capacity this year. I mean how do you see that market playing out in the longer term because it seems like there's quite a few risks there? Thanks a lot.
Peter Matt: Yes. I think just -- let me tackle your questions one at a time. So on trade policy, we continue to believe that even with some of these incremental projects that we're in for a period of very substantial demand. So let's just start with -- you called it out infrastructure. Infrastructure remain strong, we think that's going to remain strong. We don't see anything in the current dialogue that really disrupts that. And then as to trade policy specifically, when we think about trends like reshoring, there's been some really significant investment announcements in the U.S. that are going to be leading to some substantial rebar demands. I'm thinking about Apple talking about investing $500 billion. I'm thinking about TMSC at $100 billion, Eli Lilly at $27 billion. Honda, they're talking about a big reshoring investment. So these, I think, are, in part, consequences, maybe not directly, but certainly consequences of the trade policy. And I think they're going to lead to a strong backdrop of demand for us over the next couple of years on that side of the equation. If I move to your question about PSG, yes, it's an incremental supply in the Mojave region. So it's -- our story is really about growing demand. And as we look at it, we look at the combination of infrastructure, the nonresidential construction spend, the residential construction spend. And there, we believe that you're going to see, across those end markets, substantial demand. So yes, it's additional capacity, we think it's absorbable. And I think the point that's important to make on that project is that it's not going to be producing anything for several years at this point, right? So I think we're comfortable with that project coming to the market.
Andrew Jones: That's helpful. And just on the cadence of the timing of some of the nearer-term capacity versus your expectations for the demand trajectory over the next year or so, I mean, with that capacity coming in and maybe there being a bit of a lag to some of this demand uplift, I mean, how do you see that playing out over the next few quarters? Do you think the market is going to tighten further? Or do you think it will loosen before it that kind of tightness reemerges? Like what's -- how do you see it playing out over the next 12 months?
Peter Matt: I think if we look at the timing of the expected start-up, so first of all, the optimist capacity is already in the market and high bar is coming on a little bit later this year. So -- and Nucor has a facility coming on a little bit later this year. So those have to go through a start-up and these start-ups take some time. So we don't -- we're not really viewing incremental capacity as a '25 issue. And so therefore, I think we think we're going to experience some good strengthening over the course of 2025. And then as we go into '26, we expect a lot of these projects are going to start to be shovel-ready and start to be demanding rebar. So the incremental demand should step up in '26, and that should help absorb the incremental capacity. So we're -- our baseline would be that we stay in a relatively balanced position and therefore, that we can sustain these higher margins that we're talking about.
Andrew Jones: Okay, that's clear. Thank you. I'll jump on back in the queue.
Peter Matt: Thank you, Andrew.
Operator: Your next question will come from Timna Tanners with Wolfe Research. Please go ahead.
Timna Tanners: Guys I didn't hear anyone ask about Europe, so I got back in the queue. I thought, a, can we find out if the $4 million net gas rebate was in your guidance? And b, how do you think about the timing of the benefit from this great, big German stimulus? Is that -- what's -- is that more of a 2026 event as well? And also, for the tariffs, I assume that's also something that would benefit on a lag, the 15% or so cap they're trying to get to on imports, any color there would be great.
Paul Lawrence: Yes, Timna, I'll start on the natural gas and the forecast, and Peter can add some color on the overall market. We did anticipate the natural gas refund. What we didn't necessarily anticipate was the unusual strength in terms of the demand in the Polish market and the metal margin expansion that we saw certainly later in the quarter. And so that's what drove us to the overall black result for the month -- or for the quarter. And as we look forward, as we've said, we think that continuing the good demand backdrop in Poland, continuing with the metal margins at levels similar to where we are today, should enable us to continue with a close to breakeven results in that market, even without a gas credit in the third quarter for us.
Peter Matt: And just jumping in on the broader situation in Europe, Timna, what we see is we see a new sense of urgency in Europe. And you mentioned Germany, but I think it's really across many countries and Germany. And so let's start with the European Commission on some of the trade restrictions that should help support kind of steel production and steel margins in the region. So whether it's the melt and poured restrictions, some of the changes to CBAM. These type of things, I think, are going to be generally very helpful for our business in Poland. And then if we get to Germany specifically, again, what's been interesting for me is to watch the pace at which this is all kind of move through the system. So I would expect that some of the kind of trade restrictions that we're talking about from the European Commission could benefit 2025. And then in all likelihood to get a program like the program in Germany ramped up on the infrastructure and the defense spending, that's probably more likely impacting '26, but it could have a strong impact on '26. And I think the other thing, too, that you didn't note, but I think is worth calling out is, in Poland, we're seeing some very significant kind of infrastructure and broader economic investments. We've talked a lot about recovery and resilience on prior calls, but there's an infrastructure bill in Poland that over the next couple of years that will impact bridges and airports and roads, and that will have substantial, substantial impact on the demand for rebar in that market. And there's also a big nuclear project that's being talked about in Poland that will be a multiyear project with substantial demand. And of course, last but not least, to the extent that there's an end to the war in Ukraine, I think we can expect something from the rebuild there. So hard to say what exactly that will be at this point. But over -- I think the kind of overarching comment is, I think there are a number of green shoots that have emerged in Europe that we should be really optimistic about.
Timna Tanners: Thanks again.
Peter Matt: Thank you.
Operator: Next question will come from Andrew Jones with UBS. Please go ahead.
Andrew Jones: Hi. So just a follow-up on the rebar question, the start of the call. Just curious about any differences between the market in the West versus the market in the East. And obviously, given your comments, it sounds like you're getting those price increases above scrap from what you're saying. Obviously, the indices don't track well -- don't seems to imply that. What do you think is being missed by the indices? Is there some regional variation? Or is there some sort of lag? I mean, how do you explain that basically?
Peter Matt: Yes. It's -- I mean there are always some regional variations in the rebar market. And I think it's no different from what you're seeing right now. It's just a fact of the market, and it has to do with where the demand is, where the projects are at the time. But again, across each of our markets, what we see is we see a number of kind of projects that are coming to the market and new projects that are being added to backlog and so forth. So we're confident that the demand is going to emerge and that's going to enable us to get price.
Andrew Jones: Okay. Sure. Thanks.
Operator: At this time, there appears to be no further questions. Mr. Matt, I would now like to turn the call back over to you for any closing remarks.
Peter Matt: Thank you very much. At CMC, we remain confident that our best days are ahead. The combination of the structural demand trends we have noted, operational and commercial excellence initiatives to strengthen our through-the-cycle performance and value-accretive growth opportunities create an exciting future for our company and one in which we can substantially grow our returns on our invested capital. We are committed to a balanced capital allocation strategy that includes investments in our company's future and a return of capital to our shareholders. Thank you for joining us on today's call. We look forward to speaking with many of you during our investor calls in the coming days and weeks.
Operator: This concludes today's CMC conference call. Thank you for your participation. You may now disconnect.